Operator: Good morning. My name is Roshira, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 Silicon Labs Earnings Conference Call. [Operator Instructions] Thank you. Ms. Pleasant, you may begin your conference.
Shannon Pleasant: Thank you, and good morning. This is Shannon Pleasant, Director of Corporate Communications for Silicon Laboratories. Thank you for joining us today to discuss the company's financial results. This call is being simulcast and will be archived on our website. The financial press release, reconciliation of GAAP to non-GAAP financial measures and other financial measurement tables are now available on the Investor Page of our website at www.silabs.com. I'm joined today by Necip Sayiner, President and Chief Executive Officer; and Paul Walsh, Chief Financial Officer. We will discuss our financial results and review our business activities for the quarter. We will have a question-and-answer session following the presentation. Our comments and presentation today will include forward-looking statements or projections that involve substantial risks and uncertainties. We base these forward-looking statements on information available to us as of the date of this conference call. This information will likely change over time. By discussing our current perception of our market and the future performance of Silicon Labs and our products with you today, we're not undertaking an obligation to provide updates in the future. There are a variety of factors that we may not be able to accurately predict or control that could have a material adverse effect on our business, operating results and financial conditions. We encourage you to review our SEC filings, including the Form 10-Q that we anticipate will be filed next week, that identify important factors that could cause actual results to differ materially from those contained in any forward-looking statements. Also, the non-GAAP financial measurements which are discussed today are not intended to replace the presentation of Silicon Laboratory's GAAP financial results. We are providing this information because it may enable investors to perform meaningful comparisons of operating results and more clearly highlight the results of core ongoing operations. I would now like to turn the call over to Silicon Laboratories' Chief Financial Officer, Paul Walsh.
Paul Walsh: Good morning, everyone. Second quarter revenue grew sequentially by a healthy 5% to $126.2 million. Strong operational performance yielded excellent earnings leverage in return to the 20s in non-GAAP operating margin. First I'd like to cover the GAAP results, which include approximately $8.6 million in noncash stock compensation charges. GAAP gross margin was up slightly at 60.4% for the second quarter, which included the final SpectraLinear acquisition costs and the nonrecurring charge from a negotiated cancellation agreement with the supplier. R&D investment was down in the second quarter to $34.2 million. SG&A decreased significantly to $26.1 million and includes a credit related to the final purchase accounting for SpectraLinear, also a non-recurring item. The GAAP tax rate was 19.5%. All this resulted in fully diluted GAAP earnings of $0.29. I'd also like to highlight our continued progress in managing stock compensation expense down to our goal of 6%. It was not long ago that stock comp was about 10% of revenue. We're now in the range of 7% to 8% and well on our way to achieving our long-term target. Turning to our non-GAAP results. The revenue increase was due to sequential growth in all 3 of our main businesses, led by a record quarter for our Broad-based products and the recovery in Access. Gross margin is back in our target range of 62.1%. Now prior projections on cost improvements for TV tuner contributed to the sequential increase, but mix shifts between video and timing resulted in some unfavorability relative to our forecast. We are forecasting sequential growth in gross margin again for the third quarter. We've demonstrated good operating expense control while navigating through an increasingly uncertain demand environment. On a sequential basis, second quarter operating expenses were essentially flat and declined to 42% of revenue. R&D increased by less than $1 million to $30.5 million, and SG&A declined by a similar amount to $22.5 million. SG&A expense control has resulted in roughly flat spending levels for the last 6 quarters creating solid leverage as we work to improve the top line. While contending with market uncertainty, we will need to remain focused on profitability. We plan to tightly manage discretionary spending and limit headcount growth to critical hires. Thus in total, we now expect Q3 operating expenses to be approximately $54 million. In the second quarter, operating income improved considerably to 20.1% of revenue, ahead of our projections. Other income was about $600,000 and our non-GAAP tax rate was 15.8%. Therefore, net income increased to $21.9 million or 17.3% of revenue. Resulting Q2 diluted earnings per share was $0.48. Turning to the balance sheet, accounts receivable increased to $70.4 million or 50 days sales outstanding. We continue to have no known collection or bad debt problems. We made good progress on inventory, which decreased to $38.1 million or 5.0 turns, a material improvement over the last several quarters. Channel inventory in the quarter was up about 8% ending the period at 53 days. Once again, operating cash flow was very healthy with the cash and investment equivalents increasing to $351 million in the quarter. On the buyback front, we were very active in Q2, repurchasing close to 600,000 shares for a little over $23 million. About $86 million remains on our outstanding repurchase authorization. Before I turn the call over to Necip, I'd like to thank Bill Bock for making the transition process a smooth one. We are all very pleased that he will continue to serve the company as a Board Director. Necip, over to you.
Necip Sayiner: Thanks, Paul. While it was the video products that were the stars of the first quarter, in the second quarter it was our Broad-based products that reached a new high, a real tribute to the diversity of the business. Our Broad-based revenue increased 10% sequentially to a new record, now representing more than 40% of the company's revenue. The MCU business was particularly strong, surpassing the revenue peak achieved last year. Our latest generation low-power MCUs introduced a year ago are now ramping with particular success in portable applications. Our precision mixed-signal products also grew nicely sequentially due to increased demand in medical applications. And our USB products, which continue to be widely adopted, had a solid quarter in touchscreens and other animated applications. Design wins in the quarter were at an all-time record, up 45% year-over-year and development kits totaled nearly 8,000. The timing product line delivered another record quarter as well. However, the pace of order growth has slowed as the communications' end markets have cooled. We've seen a decline in demand from top telecom customers, particularly in the optical segment. This was offset by the revenue increases from a growing customer base, as well as the newly acquired timing products. We expect the business will continue to perform meaningfully better than the industry growth rate forecasted for 2011, even in the face of the optical networking headwinds. What we consider emerging products in the Broad-based category grew in combination nearly 30% sequentially. In Q2, we announced a new wireless sensor node solution powered by a harvested energy source. This enables customers to develop self-sustaining ultra-low power wireless sensor networks for home and building automations, security, medical and other monitoring devices. It's the pairing of our very low-power MCU and our high-performance wireless receivers that makes this innovative solution possible. The newest of our emerging product lines, human interface, includes touch controllers and proximity sensors. Our initial success in industrial markets is promising, and we shipped our millionth cumulative unit to industrial customers in Q2. As you know, it takes a while for the segment to become meaningful given the long design cycles and the fragmented nature of the customer base. So we've also developed a touch controller optimized for the smartphone opportunity, which we began sampling in Q2. That device achieves a very attractive combination of performance and cost. I'm pleased to announce we have secured our first design win at a Tier 1 handset maker that will begin shipping in Q4. This establishes our solution as a contender for many more opportunities in this space, giving us confidence that human interface will be a meaningful incremental growth driver in 2012. While we're satisfied with the continued share gains in the Broad-based business, we also observed demand slowing in the back half of 2011, with revenue expected to be lower sequentially in Q3. We believe our initial target of 30% annual growth for Broad-based revenue is intact but based on the current economic environment, we're likely to end the year at the low end of that range. Turning to the Access business, revenue recovered nicely in Q2 growing sequentially over 5%, with ProSLIC revenue driving the increase. Modem revenue has mostly stabilized with the CPE portion of that product line now at only 6% of company revenue. Therefore, the lumpy nature of the ProSLIC business will dictate the modest sequential changes in the Access business for the remainder of the year. Broadcast revenue was up slightly for the quarter, totaling 34% of company revenue. Growth in TV tuners and AM/FM radios offset declines in FM tuners into handsets, which are also now 6% of company revenue. In video, our TV customers are signaling to us that they see weakening sell-through and lingering inventory, particularly in Europe. We're expecting this weakness to translate into a sequential decline in Q3 for our video products. Last quarter, we talked about the midyear model refreshes we were competing for, and I'm happy to report we have won those designs. Revenue from these new wins gives us continued confidence in our $60 million revenue target for the year. Our non-handset audio business is expanding into a broad set of applications going into the seasonally strong Q3 period. However, that expansion isn't uniform. We're seeing lower-than-typical seasonal ramps for MP3 player and PND customers, where forecasts have come down based on lower expectations for consumer demand in the second half of the year. The net effect will be a slight sequential increase for audio in Q3, but clearly not to the magnitude we would expect to see in a more typical seasonally strong period. Looking at the business in total, near-term visibility is a concern as end customers globally are much more cautious than they were even a quarter ago. An increasing number of well-publicized economic issues impacting consumer demand, coupled with ongoing softness in the communications sector lead us to believe that revenue in Q3 will be down 5% to 10% to about $113.5 million to $120 million. We're anticipating that both Access and Broad-based will be lower sequentially, and that Broadcast will experience a larger sequential decline. We expect gross margin to increase by about 50 basis points. We anticipate operating expenses to total approximately $54 million. On a GAAP basis, we're projecting earnings of $0.16 to $0.22. On a non-GAAP basis, excluding stock compensation expense, we expect $0.34 to $0.40. While the near-term uncertainty is unsettling, we are very focused at this point on 2012 execution and setting the stage for a return to our target growth rate. Today, in our Broad-based business, we are achieving a very attractive growth rate in a subpar economic environment. We believe this business will bring significantly more incremental revenue dollars in 2012 than 2011 due to a number of drivers. First, our established businesses in timing and MCU have been enjoying strong design win momentum, which has consistently translated to market share gains in these product lines. Second, we expect that our emerging businesses in wireless and isolation combined could double in quarterly run rate by the end of next year. And third, our touch controllers will be ramping in smartphones, providing a new incremental growth driver as we proliferate our solution in the marketplace. We believe this growth in Broad-based products will also be augmented by continued dominance in TV tuners. We now fully expect the silicon tuner adoption rate to hit 50% next year, and we believe our solution will continue to enjoy the comparative leadership we have established with the leading OEMs. Admittedly, it's too early to be at all definitive about next year, but I do believe that the new product momentum is working in our favor, irrespective of the market headwinds. We'd now like to take your questions. Shannon?
Shannon Pleasant: Thank you, Necip. We will now open the call for the question-and-answer session. So that we can accommodate questions from as many people as possible before the market opens, please limit your questions to one with one follow-up. Operator, please review the question-and-answer instructions for our call participants.
Operator: [Operator Instructions] Your first question comes from Tore Svanberg with Stifel, Nicolaus.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: My first question relates to your guidance. Could you talk a little bit about, just qualitatively, what do you think is going on here? Is -- do you think this is going to be a sort of one quarter correction due to some inventories or do you think this is the beginning of maybe a broader-based correction?
Necip Sayiner: I think in our video business we do see, Tore, as a single quarter issue. When we talk to our top customers, both module makers and OEMs, they tell us that currently they have about 4 weeks of shipped inventory, about 4 weeks of module inventory and another 4 weeks of finished goods. This is higher than what is justified by the end user demand, so we expect this to get worked through the quarter. But we do expect to see the video revenue to recover in the fourth quarter. As it relates to the issues we'd seen in the networking business, and that is largely impacting our timing revenue and to a lesser degree, our MCU business and optical transceivers, the long-term trends are very favorable. As you know, the demand for bandwidth continues to increase. That only increases the demand for the type of products we're talking about, both in Clocks and MCUs. If you talk to our customers, they would say that they were expecting a better second half than what we are seeing today, so it's too early to say. I think it is a single-quarter issue versus a longer-term phenomenon. But that's what we see in those 2 product areas.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Very good and as my follow up, could you talk a little bit about how you are expecting to manage your own inventories in Q3? You did a good job bringing them down in Q2. What should we expect for the September quarter?
Necip Sayiner: We will continue to manage inventory tightly. There are a number of products we'll be ramping in Q3 as well. As I mentioned, we're starting to send new products to our TV customers with our latest generation TV tuner, as well as the ramp of the touch controller into handsets. So we'll be building inventory in those areas as quickly as we can. But the rest of the business we're managing it very tightly.
Operator: Your next question comes from Craig Ellis with Caris & Company.
Craig Ellis - Caris & Company: Necip, just with respect to the comments that Broad-based businesses would come in at the lower end of 20% to 30% target, is that entirely attributable to timing? Or are you seeing that there are some other dynamics at play, given the macro weakness that you cited that were -- that will impact other businesses as well as you think about other growth in that segment?
Necip Sayiner: I think if I look at the complexion of the Broad-based business and the range we've provided beginning of the year versus what we're looking at today, I think a large part of the deviation is in the timing business. But we're also taking a somewhat more cautious view for the second half of the year based on what we see in the macro environment, as well as the trend in bookings as of late. In the last 4 weeks or so, the order patterns have been relatively weak, and we're going into the seasonally slow summer season, particularly in Europe. So we are taking a more conservative view of the overall demand environment as well.
Craig Ellis - Caris & Company: Okay, and then as a follow-up, you mentioned a touch design in a handset. Can you talk about whether that's a single handset model or if that's a platform, and you'll be designed into multiple models? And where is that positioned in your customer's handset portfolio? Is that at the high end of the smartphone mix or a lower end or is it at the feature phone?
Necip Sayiner: Okay, I can tell you what I can at this point. It is a low-end smartphone platform. The particular model will be shipping into in Q4 is the first model on that platform with a number of others that will be derived from that platform that we are, at this point, designed into. So I do expect that opportunity to proliferate over the next couple of quarters relatively straightforwardly.
Operator: Your next question comes from Anil Doradla with William Blair & Co.
Anil Doradla - William Blair & Company L.L.C.: Necip, quick question, your ability to distinguish between inventory-related issues and demand environment-related issues, you talked about the video case and some of the inventory on the -- in the channel. But across the board, from your vantage point of view, are you able to distinguish between these 2 trends, at least in the near term?
Necip Sayiner: These are difficult to dissect, as you observed. I think in the TV space, the inventory issues have been with us for the better part of the year. What is new here, however, is the extent of the imbalance between existing inventory and end demand, particularly in geographies like Europe. So clearly, there is an overall end-user demand that is not meeting our customers' expectations. If you talked to our top OEM customers and module suppliers in the beginning of the year, they were looking for a repeat of last year where they've grown their units by about 20%. Of course, we've tampered those expectations significantly when we provided our target for the year of $60 million. And their forecast had significantly come down, of course, from the levels they've communicated to us. So in spite of the additional wins we are talking about for the second half, we are only meeting that original target today, which really speaks to the weakness of the end-user demand and the disconnect that exists between that demand and customer expectations early in the year.
Anil Doradla - William Blair & Company L.L.C.: And you're referring to Europe in your commentary, can you maybe frame the exposure to Europe? And the weakness that you're talking about, is that something you're witnessing beyond Europe or do you think it's Europe-specific?
Necip Sayiner: It is not Europe-specific, but when we get feedback from our customers, they would say that the demand they see is the weakest in Europe, followed by Japan for the second half of this year and then North America. So this is not a Europe-only phenomenon, but I think in general for our business, Europe continues to lag. For example, in the second quarter, all of our regions showed incremental growth sequentially, but Europe did not.
Operator: Your next question comes from Craig Berger with FBR.
Craig Berger - FBR Capital Markets & Co.: You said in your commentary that FM tuner in the handset, the CPE modems are 12% of revenues. Can you help us understand how big is FM tuners going into handsets as a total of the FM tuner business and how big is CPE modems as a piece of the total modem business?
Necip Sayiner: The handset FM tuners are at 6% of revenues, 6% of company revenue. And that's out of Broadcast revenue that is now just about 1/3 of the overall company revenue. As it relates to CPE modems, that too is at 6%. And the Access business that is reported in is 23% of company revenue. Does that give you all the data points, Craig?
Craig Berger - FBR Capital Markets & Co.: Yes, that's helpful. And then I guess on the video products, what type of -- you talked about growth in the fourth quarter, is the weakness in the third quarter more of an inventory issue, a demand issue or both? And then how do we think about the slope of the recovery in the fourth quarter?
Necip Sayiner: Well to provide the data point on the extent of issue in the third quarter, the first half revenues from video is actually ahead of the $60 million run rate. So it's now more than $30 million in first and second quarters combined. We are going to see a large sequential decline in the third quarter that should certainly help to reduce the imbalance between the inventory and the end-user demand. Most of our customers are showing reduced forecast into third quarter. The only exception being the customer where we won the midyear refreshes with our new TV tuner. The third -- the fourth quarter revenue level should swing back to what we've enjoyed in the first half of the year, particularly with the full ramp of the new models at that customer. So I do think that $60 million is very, very achievable. Of course with the new win, we would have expected significantly more.
Craig Berger - FBR Capital Markets & Co.: And then last question, just based on the design wins, progress that you're already making in LCD TV tuners for 2012, how do we think about the year shaping up?
Necip Sayiner: I think there's a lot good happening in that front, Craig. Obviously, this win that we're talking about for the second half is going to translate into a larger share with that customer in 2012. And this has been a customer that has been relatively timid in adopting the silicon tuners, so that's a big net win for us. The other customers we've been enjoying business with are also looking to us as their major supplier; in some cases, sole supplier of silicon tuners in 2012. And they do intend to increase the amount of business they direct to Silicon tuners than they did in '11.
Operator: Your next question comes from Steven Eliscu with UBS.
Steven Eliscu - UBS Investment Bank: On the TV tuners, I'm just trying to understand in terms of the ramp here, would have thought that customers converting to your solution would have been adopting -- still in the adoption phase. So is decline related to competition or is just the slow TV market slowing the overall adoption of the switch to silicon tuners?
Necip Sayiner: Steve, just to give you the profile of what you can expect in this business, they do have model years. So a big portion of the new designs start ramping in the first quarter. Occasionally they do introduce media refreshes, although that is a small portion of their overall volume. So once you are designed in, in the beginning of the year, you ship with that model for all of that calendar year. So there are no other events -- refreshes that can take place. There are no changes throughout the year in terms of the share you can enjoy. So the revenue trajectory that we're talking about here sequentially is completely dictated by the end-user demand and the inventory that they are holding today.
Steven Eliscu - UBS Investment Bank: That's very helpful. And then switching to the touchscreen controllers, in terms of gaining more substantial traction beyond the initial platform that you've announced today, how do you see your yourself doing that and becoming strategic as the touchscreen controller supplier versus just being used to get better pricing and being used as leverage from the incumbent touchscreen controller vendors that you're competing against?
Necip Sayiner: This type of device is really now a sweet spot in terms of a technology provider because this requires a high-performance device at a better cost point than the competition. And in many other high-volume markets, we have shown our ability to do that. So the product that we're talking about here that is optimized for smartphones, does provide a superior performance to what you might find in the marketplace today at a more attractive cost point. So we do believe that we'll be able to leverage this across many other platforms. The customer we are engaged with today is no stranger to us and knows us well and knows our technology well. So we're confident we'll be able to expand our footprint inside this customer, but also we will be able to leverage that across other customers. I do think that we've just started innovating in this space.
Operator: Your next question comes from Ian Ing with Gleacher.
Ian Ing - Gleacher & Company, Inc.: Yes, you talked about optical communication was cooling off a bit, and I just wanted to confirm that's typically these pluggable optics used in enterprise, WAN, SAN and storage? And is this fairly consistent among all your customers? And how much runway do you have in terms of penetrating this opportunity with your small form factor MCUs?
Necip Sayiner: Okay, so the exposure we have to optical communications, it spans SDH/SONET boxes to DWDM for optical backhaul for a wireless infrastructure to fiber optic transceiver components that you're alluding to for MCUs. So the most visible demand issue appeared with our top telecom and datacom customers in Q2, which appears to be going into Q3 as well. And with the MCUs, it's a little bit of a mixed story because in the first half, we've also ramped a number of new customers and programs with our devices in this sector. So on one hand, we are ramping new customers and growing share. On the other hand, from pretty much all these customers, we're seeing a slightly lower demand. So it is not a huge reduction in demand as the video segment, but it is broad and it is coming from a number of different customers.
Ian Ing - Gleacher & Company, Inc.: A question for Paul. You talked about -- I think on the last call, we talked about Q3 compensation going up a bit and OpEx going up, but then flat in Q4. Is that still the case? Should we expect fairly flat OpEx in Q4?
Paul Walsh: Yes, I think given the current market conditions, if they persist, you'll see OpEx in Q4 to be not terribly dissimilar from Q3. Q3 is going to be up about $1 million dollars as we talked about. And basically, OpEx is our lever from managing profitability. So we're going to manage discretionary spending pretty tightly and limit our hiring to the most critical needs.
Operator: Your next question comes from Alex Gauna with JMP Securities.
Alex Gauna - JMP Securities LLC: I was wondering, you've addressed quite a bit on the timing front, networking front. But can you say does it map pretty closely onto some of the disappointments negative pre-announcements that we've seen during the quarter? Did it go beyond that? And how are your customers framing the duration of the slowdown?
Necip Sayiner: Well we're cognizant of that news as we provide guidance in Q3. The orders in the last 4 weeks or so have been subpar in our Broad-based business, so one of the reasons that we are guiding that business to be lower sequentially is due to that. And when we talk to our customers, the overall expectations for the second half have come down quite a bit from their earlier expectations. But in general, I don't think anybody's -- with the exception of the challenges in the TV space, I don't think anybody's expecting a significant decline or anything of that sort.
Alex Gauna - JMP Securities LLC: Okay, and then as a follow-up, I was wondering if you could talk about it. Are there any areas where you have any pricing leverage? It's a tough environment for anybody. I know it's an odd question to ask in an environment like this, but it seems like some of the merchant semiconductor manufacturers have been managing through these tough time have done throughout sell-through pricing. Do you have any areas where you've considered that or have that leverage?
Necip Sayiner: No, I mean we are not into commodity parts where we see those wild fluctuations driven by demand. But I think the overall environment for ASPs, I would say, have been somewhat favorable compared to what you might ordinarily expect. So the ASP reductions that we've seen sequentially or year-on-year have been okay.
Operator: Your next question comes from Vernon Essi, Needham & Co.
Vernon Essi - Needham & Company, LLC: Necip, I was wondering if we could just go back and revisit your point about the emerging markets side of our Broad-based and if you could just kind of qualitatively walk through where you're seeing the most activity in the middle of the year. I mean obviously the touch controller's the highlight there, but how are the other businesses faring? And how do you see them shaping up towards year end?
Necip Sayiner: I think the MCU businesses are doing very well. There's a lot of activity there. We've talked about a record number of design wins earlier. And we feel good about what's happening in that space as we continue to offer solutions in home automation, security, metering and so on. We are making good progress in our emerging product areas and Broad-based, in wireless and isolation. Wireless continues to do very well due to the higher performance we are able to offer in our target markets. So as I said, wireless and isolation combined, albeit at small base today, is set to show a very attractive growth rate over the next 6 quarters, and we're looking for it to double for us.
Vernon Essi - Needham & Company, LLC: And this is just a follow-on going over to the MCU side of the house, how would you characterize the market? Obviously, there's been a lot of turbulence the first half of the year. Do you believe you're still gaining share? And just in general, do you feel that your approach to the market's going to yield further results in 2012 without having to go upstream to 32-bit?
Necip Sayiner: Well I do think that we are gaining share. I think that's evidenced in the numbers. MCU business hit another record as well in 2Q, and we'll have a record year this year. So there's no doubt in my mind that we are gaining share. Of course every MCU provider's telling you the same thing, but you can look at our numbers and judge it for yourself. I do think that 32-bit is going to provide a significant opportunity to expand our addressable market, and we are well underway in developing the first couple of platforms in that.
Operator: Your next question comes from Brendan Furlong with Miller Tabak.
Brendan Furlong - Miller Tabak + Co., LLC: A question of the new tuner on the refresh with your new tuner product. As we go into 2012, will this new tuner product be gross margin enhancing as you had previously expected?
Necip Sayiner: Yes.
Brendan Furlong - Miller Tabak + Co., LLC: Okay, and then I guess a question on -- just on the MCU side. A lot of talk there on the comps, but how was your industrial end market on the MCU side?
Necip Sayiner: That was one of the end markets that provided good support for the business for us in the second quarter. Particularly in China region, we are seeing a lot of strength coming from industrial. And I think that's likely going to continue into the second half at current run rate.
Operator: Your next question comes from Arnab Chanda with Roth Capital. [Technical Difficulty]
Arnab Chanda - Roth Capital Partners, LLC: A couple of questions. First is, exactly when did you see the weakness which seems Broad-based? Was it throughout the quarter or was it more towards the end of the quarter? And then a quick question on your touch business. What exactly do you think caused you to be successful this time around in the handset versus in the past? Is it a new product or the fact that you can sell both sensors as well as the microcontroller? And what does that mean for say, future tablet and smartphone designs?
Necip Sayiner: So your first question first. On Broad-based, we have seen our orders weakening compared to the second quarter run rate in the last 4 weeks or so. Some of this is not unusual, this being a slower summer season. But connecting it with what we're hearing from some of the customers, what we know is taking place in the optical networking sector and what we've heard from some peers as well, we believe that this will lead to sequential lower revenue base for the third quarter. Your second question was about touch. As I said, this really is in our sweet spot. When we decided to develop a revised product optimized for that space, we wanted to make sure that we'll be able to hit the cost points that would be attractive to our end customers and also achieve a performance at or above the competition, and I think we've done that. For us, this isn't the end of the road. There are several follow-on products on the roadmap that will both enhance the performance of the device, as well as continue to drive the cost lower. So we certainly have aspirations to be a major player in that market. And that will eventually lead us to participate in the larger screen sizes as well. The current device is limited to smartphone sizes, but the technology is very applicable to larger screen sizes.
Operator: Your next question comes from Blayne Curtis with Barclays Capital.
Blayne Curtis - Barclays Capital: Just a couple -- on timing, if you could just give me whether it is relative strength with the SpectraLinear acquisition? Did that business, x that grow and then kind of how we look at the guidance, maybe just to put a whole Broad-based segment, if you could give any perspective of the relative strength of this segment?
Necip Sayiner: SpectraLinear revenue base did grow quarter-on-quarter, but that's also due to an additional month that we've had the business in. And that, more or less, explains the growth that we've seen in the timing business. The rest are flat quarter-on-quarter for the dynamics I described. When we look at the overall Broad-based business, I think the growth in timing still a little bit superior, significantly ahead of the overall growth rate in Broad-based this year. The emerging product lines, of course, are growing at a very high rate as well, albeit from a slow base. And I do expect that growth to continue into next year as well. Of course, that will be augmented further by the growth in HI [ph].
Blayne Curtis - Barclays Capital: And then just finally on the video side, just trying to understand the flow back in December and what's driving that? And do you think that business can get back to the record level to hit that $60 million for the year?
Necip Sayiner: As I said, the first half run rate was ahead of $60 million, so even with the decline in 3Q, unless everyone decides to stop buying TVs, we should be good for $60 million this year. And I do certainly think that we'll get back to revenue levels -- record revenue levels whether this happens in 4Q or 1Q. I don't have that visibility yet, but the business is certainly trending in that direction.
Operator: Your next question comes from Blake Harper with signal Hill.
Blake Harper - Signal Hill: A question for Necip. Just want to hit on the timing markets again and just outside of the communications I guess, what are you seeing there? And then just -- and talk about the SpectraLinear stuff? Also then though, if you could kind of break it by different markets and what you're seeing there?
Necip Sayiner: Well actually, the rest of the business in timing that pertains to other end markets are doing pretty well. As a matter of fact, in 2Q when I talked about the timing business, exuding SpectraLinear, which was flat year -- quarter-on-quarter, we've seen a decline, a visible decline in top telecom customers, but the rest of the customers grew to make up for that decline. And it takes a lot of customers to make up for that revenue base. So I am happy with the growth in that other base, but still the majority of the business in timing is coming from networking. So when there is a demand issue, we are impacted.
Blake Harper - Signal Hill: Got you. And then just a follow-up now, what percentage approximately is the communication market of the timing business now?
Necip Sayiner: I want to say overall, at least 2/3.
Operator: Your next question comes from Srini Pajjuri with CLSA Securities.
Srini Pajjuri - Credit Agricole Securities (USA) Inc.: Necip, the legacy business that you mentioned is, I guess, total is 12% of sales. How should we think about how that's going to trend for the next several quarters? Do you expect it to remain at that level or do you expect it to come down?
Necip Sayiner: I expect it to come down, but I do think that it's going to be at a very measurable pace. I don't expect to see large steep declines. So you can take this, and for modeling purposes, reduce it by 1% or 2% for the next 10 quarters.
Srini Pajjuri - Credit Agricole Securities (USA) Inc.: Got it. And then on the touch business, Necip, I'm just curious. You said you're pretty competitive when it comes to the pricing of -- for the low-end market. Competitively, who are you seeing out there? Who do you think is your biggest competitors? And then as this product ramps and maybe for you Paul, how should we think about the gross margin impact overall?
Necip Sayiner: I think you know all the major players in Atmel and Cypress, and they continue to dominate that space. But it is a crowded space with many other suppliers, large and small entering the market. So you really need to differentiate in providing a value proposition between the performance of your device and the cost point of your device. And we feel pretty good about what our current product represents and even better about what the next set of products in the roadmap would translate to.
Paul Walsh: And Srini, on the gross margin front, I think this product, we'd say they they're within the sweet spot of our corporate gross margin.
Srini Pajjuri - Credit Agricole Securities (USA) Inc.: Okay, great. And finally, Necip, you still have a strong balance sheet. Just curious as to what the plans for your cash are going forward?
Paul Walsh: Srini, I'll take this, this is Paul. In the second quarter, we repurchased over $23 million worth of shares, about 600,000 shares. We have about just under $90 million left on the existing authorization. And we'll continue to remain active in that in the second half of the year, no doubt.
Srini Pajjuri - Credit Agricole Securities (USA) Inc.: Any potential M&A, Necip, given that you just closed one deal?
Necip Sayiner: Given the environment, we'll probably stay -- sit tight for the time being. We're going to integrate the SpectraLinear business successfully and leverage it the best we can. First, there are things that we're looking at on an ongoing basis, but I wouldn't expect anything imminently in the second half.
Operator: And your final question comes from Sujee De Silva with ThinkEquity.
Sujeeva De Silva - ThinkEquity LLC: On the video business, I'm trying to understand how quickly that next-generation product cuts over. What percent of the units exiting 2012 will it be? And is that the delta between gross margin being at the low end versus the mid-range roughly?
Paul Walsh: I would suggest that majority, perhaps a large majority of our TV tuners in '12 will be in the new generation device.
Sujeeva De Silva - ThinkEquity LLC: And is that really what was held up at the low end?
Paul Walsh: Yes, what I would say on gross margin, Sujee, is that the video product line in the near term is down. That puts a little bit of upward momentum on gross margins. But with the Broad-based revenue being down as well, that puts a little bit of counteracting pressure on gross margin. So I think even long term, we do have a cost roadmap for video, and we have demonstrated improvements in video even in this past quarter. We will continue to see that. But it will still remain below the corporate gross margin average.
Sujeeva De Silva - ThinkEquity LLC: And the other question I have is on OpEx being flat and you guys kind of maintaining controls there. Should we worry about your ability to fund the product pipeline? Are you redeploying people within your head count to be able to continue to bring new products to market? Could you just talk about that a little bit?
Paul Walsh: What we're doing on the OpEx, as we've talked about it earlier, is managing it tightly. But we have a lot of confidence in what we see in 2012 on the new product side, so we really don't want to cut investments per se. And we're just going to manage our discretionary spending as tight as we can, and we will have some hiring, but it will be really limited to the most critical needs and projects.
Necip Sayiner: And there are some redeployments of resources that are taking place to optimize what we have on the roadmap.
Sujeeva De Silva - ThinkEquity LLC: So that's how you can fund new growth -- the growth opportunity? Maybe deployed?
Necip Sayiner: Yes, there's no compromise there.
Operator: And there are no further questions at this time. Are there any closing remarks?
Shannon Pleasant: I'd just like to thank you for joining us this morning. This now concludes today's call.
Operator: This concludes today's conference call. You may now disconnect.